Operator: Good day, and thank you for standing by. Welcome to the Stellar Bancorp Inc. Reports Third Quarter 2023 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Courtney Theriot, Chief Accounting Officer.
Courtney Theriot: Thank you, operator, and thank you to all who have joined our call today. Good morning. Our team would like to welcome you to our earnings call for the third quarter of 2023. This morning's earnings call will be led by our CEO, Bob Franklin; and CFO, Paul Egge. Also in attendance today are Steve Retzloff, Executive Chairman of the company; Ray Vitulli, President of the company and CEO of the Bank; and Joe West, Senior Executive Vice President and Chief Credit Officer of the Bank. Before we begin, I need to remind everyone that some of the remarks made today constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 as amended. We intend all such statements to the covered by the Safe Harbor provisions for forward-looking statements contained in the act. Also note that if we give guidance about future results, that guidance is only reflection of management's beliefs, at the time the statement is made and such beliefs are subject to change. We disclaim any obligation to publicly update any forward-looking statements except as maybe required by law. Please see the last page of the text in this morning's earnings release, which is available on our website at ir.stellarbancorpinc.com for additional information about the risk factors associated with forward-looking statements. At the conclusion of our remarks, we will open the line and allow time for questions. I will now turn the call over to our CEO, Bob Franklin.
Bob Franklin: Thank you, Courtney, and good morning, and welcome to the Stellar Bank -- Bancorp third quarter earnings call. I will begin my comments by thanking our fine team at Stellar Bank for their great work and extra effort to strengthen Stellar Bank's infrastructure. Our combination just over a year ago is now in its second phase of refinement following our core conversion, developing one culture, developing and better defining our staffing needs, refining our expenses to scale to an $11 billion organization, and aligning our efforts to make Stellar Bank the bank of choice in our markets. Though the industry continues to experience pressure on the deposit side, due mainly to interest rates, we have seen our base move towards stabilization. Rates have also put pressure on our net interest margin, but the negative effects are beginning to minimize, and though, we would not call a bottom, with the uncertainties that still exist in the market, we feel we are close. Our credit metrics remained good and our markets remain strong, but we must be cautious as the effects of rapidly rising interest rates work through the economy. We did charge-off one loan in the quarter, which was the result of a continued deterioration of a previously identified credit noted in the fourth quarter of 2022. The issues experienced in this credit are specific to the borrower and do not appear to be a trend within our loan book. We continue to believe that our underwriting and our markets remain good. We are determined to concentrate on building capital, liquidity and staying focused on good underwriting. We are also making sure that we monitor our existing portfolio for any negative trends that may form in the future. We are pleased with our balance sheet positioning as we move to the fourth quarter of the year. Our goal is to put our institution in a position of having all options available to it as we move into 2024. Achieving our goal will create value for our shareholders, our employees, our customers and our communities. I'll now turn the call over to Paul Egge, our CFO.
Paul Egge: Thanks, Bob, and good morning, everybody. We are very pleased to report strong operating performance in the third quarter. Our net income was $30.9 million, representing diluted earnings per share of $0.58, an annualized ROA of 1.14%, and return on tangible common equity of 14.5%. This was incrementally lower than the $35.2 million, or diluted EPS of $0.66 per share earned in the second quarter due mostly to increases in funding costs more than offsetting increases in interest income, higher noninterest expense and lower noninterest income. Notable among the noninterest items with our control of core noninterest expense after excluding merger expenses and for noninterest income, the decreased revenue effect from the Durbin Amendment on our debit card and ATM card line item and reduction in NSF fees. During the third quarter, core net interest margin, which excludes purchase accounting adjustments, contracted by 10 basis points versus the second quarter and was 3.87% in the third quarter. That said, we are pleased to have experienced relative stability in our core net interest margin since May on a monthly basis. Since May, after experiencing meaningful funding dislocation in March and April, our funding costs have continued to trend upward, but at a more measured pace and the repricing of our assets had been able to keep pace enough to maintain stable monthly core net interest margins as we entered and exited the third quarter. While we do not like to see a decrease in our NIM or pre-tax provision profitability, we feel pretty good about the stabilization in our margin trends and earnings power, which continues to compare favorably relative to the industry and we also feel good about our ability to protect our relative profitability profile in this challenging environment. With respect to purchase accounting items, we had $119 million in loan discount remaining and a core deposit intangible of $122.9 million at the end of the quarter. Strong earnings notwithstanding accelerated amortization of CDI expense has really helped us to internally generated capital at a nice pace, reflected and having shown well over 100 basis point increases in all of our regulatory capital ratios over the last third quarters. In summary, we believe Stellar is well positioned to manage through the current operating environment and thrive. Our funding composition and liquidity position, puts us in a great spot to maintain favorable margins and earnings power. Finally, on credit, we feel appropriately reserved given the current economic unknowns and we otherwise take comfort in our credit underwriting discipline from lending in one of the -- and from lending in one of the strongest markets in the country. Thank you. And I will now turn the call back over to Bob.
Bob Franklin: Thank you, Paul. And we're ready for questions, operator.
Operator: Thank you. [Operator Instructions] Our first question comes from Eric Spector with Raymond James. You may proceed.
Eric Spector: Hey, good morning everybody. This is Eric dialing in for David Feaster. Congrats on a good quarter. Just wanted to touch on maybe some of the trends on the core funding side. Obviously, you've seen some migration, but just curious, some of the underlying trends you're seeing maybe how new core deposit pricing is trending for core products as well as CDs, and just kind of how you think about deposit balances going forward?
Ray Vitulli: I'll do it. Hey, Eric, this is Ray. So, on those deposit trends, we felt good about third quarter when we look at the dollar amount of new -- that exceeded closed, that really held nicely. It's actually held nicely over third quarters in a row. And then, if you look at our, what we call the carried, which is what's existing prior to the new enclosed, that -- those outflows, there still were some outflows, but they really decelerated at a nice pace to where we almost got to core, but there is still a core outflow to the net for the total but it's significantly decreased from the previous two quarters.
Bob Franklin: While there were some shrinkage, we kept the composition relatively similar. So, when you think about our funding base, we still -- we succeeded in having stability in our noninterest-bearing deposits ratio, and everything else, including our wholesale funding dependency, really mirrored where we were at the second quarter.
Eric Spector: Got it. I appreciate the color. Just kind of following up on that, just curious how you think about the balance sheet, and just the margin trajectory assuming a higher for longer environment? Just kind of any color on the bank's performance or broader economic issues that you think could arise in a higher for longer environment? Just kind of how new loan yields are trending, color on like loan repricing dynamics, and how the loan yields are versus roll-off rates? Any color on that end would be great.
Bob Franklin: Certainly. I mean, the best takeaway we have that we feel good about coming out of September and really the last five months is a relative measure of stability in our net interest margin. So notwithstanding the fact that the cost of funding continued to trend upwards. It's very much been an equilibrium in lockstep with the rate of change in our asset on the asset side. So, we feel good about the stability there. We think the more time we're higher for longer, it will give more time for our asset book to reprice. Over the longer term, we see net benefit there, but we're very, very cautious around how we manage the uncertainties of this unprecedented interest rate environment. So right now, we feel pretty pleased, but we're just cautious about outlook and feel good about where we sit.
Ray Vitulli: Hey, Eric, I can give you some numbers, some color on the new loans. So, new loans for the quarter originated $340 million, that was at 8.12%, we picked up 50 basis points from the prior quarter on that. And then, we renewed over $600 million of loans in the quarter at 8.71%, and that was a picked up of 65 basis points from the previous quarter.
Eric Spector: Got it. That's really helpful color. And then, just wanted to touch on the securities book. You have advantage of having a truly liquid portfolio. I guess if we continue to see deposit, how do you think about security sales versus borrowings versus CDs and other types of non-core funding? Where are you comfortable with that loan to deposit ratio shaking out? Maybe if you could just remind us what cash flows from your securities portfolio are that will be helpful.
Bob Franklin: Certainly. So, in the fourth quarter, we have well over $100 million of security -- of cash flows coming off the securities portfolio. If you take that forward 15 months, you're talking about probably $300 million of securities -- of cash flows coming off the securities portfolio. But -- and then every day we talk about the puts and takes as it relates to how we manage the balance sheet and what do we do with that cash. We feel comfortable with our current level of loan to deposit, and we want to take part in the repricing opportunities out there. So, currently we're leaning towards reinvestment of those cash flows, but it does afford us a high level of flexibility going forward. So, we are able to call audibles around that depending on how the broader funding base gets.
Eric Spector: Got it. That's helpful color. Thanks again for taking the questions, and I'll step back.
Bob Franklin: Thanks, Eric.
Operator: Thank you. One moment for questions. Our next question comes from Will Jones with KBW. You may proceed.
Will Jones: Hey, great. Good morning, guys.
Bob Franklin: Good morning, Will.
Will Jones: So I just wanted to start on loan growth, I know we've kind of been talking about this low to mid single-digit range for the full year. And if you look at the first half, there is a little stronger, but we saw little more softness this quarter. And I guess the theme maybe that we continue to see a little bit softness as we enter the fourth quarter. So, round trip, we may wind up still in that mid to low single-digit range for the year. I guess, A, is that kind of how you're thinking about the near-term and in the fourth quarter kind of growth outlook?
Bob Franklin: Yeah, I'll let Ray give a little more color, but for the most part, loan growth is going to be fairly muted through the end of the year and as we kind of watch the market and see what, what's available to us. We've increased our underwritings quite a bit. So it's cleared the deck a bit on what can actually -- clear the hurdles to get on the books. So, it's going to be slower than it was in the first part of the year. But -- Ray, you might -- you can add what you want.
Ray Vitulli: So, Will, the -- so, a couple of things that how we got to that, where you saw the little negative growth for the quarter. When you look at the waterfall, the posture that we started last year around managing credit and liquidity and if you -- if it's a function of our loan originations, those were second quarter about $550 million in new loans in this quarter, around $350 million, so that's definitely one component of probably where we're headed. The other thing is our pay-offs where we've normally experienced something like $250 million a quarter, that continues to actually to around $275 million in the third quarter. So combination of lower originations plus, not a return to the pay-off levels, but at least a little little increase in the payout, which think is probably healthy. That's contributing to probably what we're Bob was talking about that muted probably low-single digits.
Bob Franklin: And Will, I would just add, as you think about our approach to this and I know others have different views on it, but we really feel strongly about our core deposit funding. And so right now the knife fight that we're going through on deposits for -- with some pretty high rates out there, and a lot of those higher rates don't even pertain to what core funding really is. So, we haven't chased that to try to increase the loan volume. We like our position from loan to deposits, we'll probably even pull it down a bit. This is a good time to really focus on strength of the balance sheet, but we feel like we've been able to keep the non-core funding to a percentage that we feel comfortable with, and we'd rather not increase loan volume by going out and borrowing more money at tighter margins. So, we're sort of staying within the boundaries of what we feel like as a way to grow the bank. We think that the true value in our organization is around our core funding profile, and we won't -- don't really want to disturb that.
Will Jones: Yeah. That's helpful, Bob. I know core funding is a huge advantage to you guys. But I guess to that point, it feels like when a company was combined and put together, it was really built to be more higher growth oriented. So, what do you really like -- what do you really need to see to get more offensive on the growth front? Do we need to see deposit costs really kind of stabilize and just overall pressure on deposits stabilize, or does there need to be a little more clarity over rates and credit? Or just how do you think about, what would kind of drive a more offensive step for you guys on loan growth?
Bob Franklin: Well, we agree with you. We were built to really drive growth and do things that we wanted to do. Unfortunately, when we closed our deal in November of '21, the Fed was in the process of raising interest rates at the fastest pace than it ever had. That had to change your trajectory, you can't just continue to push on with what you wished was going to happen into something that didn't happen for you. So, you pull back you figure out what's your next strategy is. But right now, there is not a level-playing field for deposits. So, deposit gains are really coming at a pretty high cost in many ways, unless you're JPMorgan, I guess, but people are running to safety. But for the rest of us, we're out here battling for deposits on a relationship basis type approach. And as long as rates continue to move and people are aggressive around what they're paying for things, we don't think that's the right call. So, we're trying to take the right approach on the deposit side to make sure we're still developing relationship type deposits, making sure we're looking for the funnel account, that's the approach we've taken for years and years, and it's done well for us. On the loan side, these high interest rates are going to have to move their way through the economy. We have not seen the effects of them yet. I think it's coming. We happen to be in a really nice place in Houston, Texas that is still pretty strong from an economic standpoint. That doesn't always mean you drive right through that hole to increase your balance sheet when you know there some dust on the horizon. So, it's something we're just approaching cautiously. We are still continuing to make loans. We still increased our underwriting standards to make sure that we feel comfortable in the things that we do put on. But we're cautious, we'll admit it. And we just want to make sure that we preserve a really nice balance sheet and a good nice core earnings profile. And I think we're doing that. I think our earnings are not exactly where we'd like them to be, but they are still pretty good. And so, we feel good about where we are.
Will Jones: Great. That's super helpful, Bob. Thanks for that. I just wanted to touch on credit for a bit. We obviously saw a little bit higher tick-up in charge-offs this quarter. There's really kind of been a theme across the broader Southeast of maybe some of these idiosyncratic noise within the C&I space. Is that kind of really how you would characterize this credit we saw this quarter?
Bob Franklin: I wouldn't. I think it was really relative to one loan that one company that frankly wasn't managed really well and we ended up in the position that we did. We worked with it for a long time trying to figure out a better way and it ended up in this position. It's not indicative of our portfolio. As you could see, non-performers actually went down fairly significantly and we didn't backfill after we charged the loan-off. So, I think the trend is not that direction. We want to make sure that we head off having a trend in that direction, and I don't think that's really indicative of where we are. But we are cautious about what's out there, because as we see renewals happen and how people are handling higher interest rates, it's been interesting as we go through that to see how people are going about dealing with the increase in rates at a renewal time. So, there's a lot of things available to us and we're using all those tools. And I think the market here helps us because it is so good, remains good. And hopefully, if we get this soft landing that people like to talk about, that's great. If it's a little harder, I think we're still well positioned and if it doesn't happen, I think we have the ability to take advantage of things as we move into '24.
Will Jones: Great. So, it feels like the pulse on credit, at least as it pertains to Stellar maybe a bit of cautious optimism. Would you characterize it that way?
Bob Franklin: Yeah, I would. I mean, if we get better signals in '24, we are well positioned to move back to where we'd like to have been positioned to over a year ago. But I think you have to be sure that the Fed is through. You have to make sure that we're not running into an economy that the Fed was so successful, it's slowing the economy that's hurt all of us and we want to make sure of kind of where we believe things are as we get into '24. And I think that's sort of been our position. We feel really good about where we are and we're leaving ourselves every option available open. So, we're accreting capital, our earnings are pretty good, we're repositioning expenses so that we can make sure that we're in a good place from an earnings standpoint, and we're going to see what it provides us as we move into '24.
Will Jones: Great. That's very helpful. Thanks for the questions, guys.
Bob Franklin: Thank you.
Operator: Thank you. One moment for questions. Our next question comes from Graham Dick with Piper Sandler. You may proceed.
Graham Dick: Hey, guys. Good morning.
Bob Franklin: Good morning, Graham.
Graham Dick: So, Paul, I just wanted to circle back to the NIM quickly. I heard there is stability from quarter-start to quarter-end, which is obviously great to hear. Funding pressures can be volatile, but assuming trends continue to level off like you guys have seen and there is no more increases in the Fed funds rate, is there any reason to think that the pressure from the funding side can start to abate as the asset side continues to reprice higher and there is a bit of a hand off maybe in the back half of '24 that could lead to some stabilization in the first part of the year and then maybe even some expansion in the core margin later on in the year?
Paul Egge: As long as composition stays constant, I believe there is a lot more room to go up in the asset side than on the funding side, but that is obviously a big contingency. We feel really good about our performance over the last five months, and we are going to work hard to defend that. It does stand to reason that the asset side has more room to go. But we're still taking I guess a cautiously optimistic approach there, particularly because we are still in some really, really competitive markets. I feel like what we've been able to do up to this point has been Herculean. We're going to continue to work on continuing the track record of relative outperformance on our cost of funds, which is translating into meaningful outperformance in what has been a stable NIM post the tumults earlier in the year.
Graham Dick: Yeah, absolutely understand the cautious approach there, but still good to hear that things seem to be at least trending in the right direction, I guess, from what we saw at the very first part of the year around the industry. And then, I guess, just quickly, what are you guys assuming on accretion income? I guess over the next couple of quarters, it's a little bit higher than I thought it would be this quarter. I don't know if there is some early payoffs or what might have driven a little bit of stable accretion essentially quarter over quarter. Just any color on what you guys are looking at there would be helpful.
Paul Egge: Certainly. It has been higher than we expected and granted we've welcomed the accretion income. We try to look at the business both ways and being extra mindful of the windfall nature of some of it, because that's really what's driven a higher level of accretion income, more pay downs in the portfolio than expected, which we'll absolutely take. Recall all of this accretion income is interest accretion and that's pretty powerful because ultimately it just brought forward the repricing on the entire acquired portfolio of loans and those loans, when they do reprice, are repricing at market rates. And we feel like that's really powerful. So, ultimately, aside from the fact that what I'll call windfall accretion has represented about 35% to 40% of what we've been experiencing year-to-date, we'll obviously take that, but there is repricing going on, and we see much of the accretion as core when it reprices into a market-based loan, especially at the nice rates that Ray outlined with respect to those recurring loans, where we're ultimately getting over 8.5%, 8.7% when we repriced loans. So, we feel good about it if it's repricing into those types of levels, but we definitely think of most of it as a pull-forward of market pricing.
Graham Dick: Okay, great. And then I guess just on that repricing front you just mentioned, Ray, is that $600 million of repricing that happened or renewals that happened this quarter, is that typical? Is that kind of like the run rate we should expect in terms of the current loan book churn going forward?
Ray Vitulli: It's probably a little higher than the normal. Normally you kind of think about our originations and renewals generally kind of track together, and this was a little bit probably outsized where the first two quarters are more like $500 million of renewals and this was $680 million. So probably something between $500 million and $680 million is probably the way to think about it. It was a little outsized.
Graham Dick: Okay, great. That's helpful. And then I guess just turning to expenses quickly, I know you said that you've got some an increased focus on expenses going forward and optimizing the expense base to kind of align with the revenue environment in the current economy. But what does that mean for your approach to expense growth in 2024 as it relates maybe to that I think we've talked about $265 million number for 2023?
Paul Egge: We're trying to be a strategic and thoughtful with how we manage expenses. And there is competing dynamics going on. First and foremost, we're completing and moving onto the second stage of our merger to create Stellar Bank and what that means. We want to be well positioned to grow when the opportunity presents itself. So, we don't want to fall into the trap of under investing, but at the same time, we have to be really mindful of current revenue trends and delivering for investors. So, we are about seeking to balance that in a way so as to achieve both ends. So what that means in 2024 is seeking to control and stay level as it relates to our core expenses from 2023 and going into 2024 and to the extent and really being thoughtful about how and where we allocate expenses. So it's something just like our balance sheet management that we're thinking about every day, and we haven't made any sudden move as it relates to that, but this is budgeting season and we are hyper-focused.
Graham Dick: Okay. Thanks, guys. I appreciate it.
Bob Franklin: Thank you.
Operator: Thank you. One moment for questions. Our next question comes from John Rodis with Janney. You may proceed.
John Rodis: Hey, good morning, everybody.
Bob Franklin: Hey, John.
John Rodis: Bob, I like your cautious view on things. I wouldn't be apologetic about that. I think that's environment we're in. Paul, you made the comment just before on expenses, 200 -- I think quarter or two ago, you talked about $265 million and you just said sort of full year '24 sort of level. So, just reading between the lines, is that sort of implies flat to low single-digit growth for next year? Does that make sense?
Paul Egge: I think about it on a core basis flat to low single-digit, yes. And we're still formulating around all that, but we seek to manage this effectively in 2024.
John Rodis: Okay, makes sense. Back to the yield accretion, certainly the higher payoffs been pulling some of the accretion forward. I think a quarter or two ago, you talked about $26 million to $28 million for the year, which would put you at, what, $6 million to $7 million per quarter. For modeling purposes, does that -- well, it could come in higher, does $6 million to $7 million a quarter for yield accretion over the next few quarters still seem reasonable?
Paul Egge: I think it's hard to predict these things that if you're going straight on and we were conservative thinking that we wouldn't get really much or any pay downs. And as it happens, we've gotten a lot more. So, I think that that's been our conservative view and we've been surprised to the positive. So, taking recent path, I think it's safe to say that our conservatism has been a little less warranted, but once again it's hard to predict deposit -- pardon me, loan repayment behavior, especially with these higher rates. It's been interesting that it's outpaced our expectations at this point.
John Rodis: Yeah. I get it. Back to the charge-off, can you guys say what sort of industry that company was in?
Bob Franklin: John, I think we should leave it as it is. We're still in negotiation, still have some ongoing step with these guys. I don't want to call them out in anyway. Being more specific is probably not a good idea for us right now.
John Rodis: I understand that. Just one follow-up on that, it was in the Houston market, correct?
Bob Franklin: Yes.
John Rodis: Okay. Okay, guys, thank you. It was a nice quarter. Thank you.
Bob Franklin: John, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Matt Olney with Stephens. You may proceed.
Matt Olney: Thanks. Good morning, guys. Most of my questions have been addressed, but I know the bank typically has some seasonality late in the fourth quarter and into the first quarter with respect to that deposit base. As it stands today, we'd love to hear about expectations of that seasonality? And if you expect to kind of maintain those normal seasonal patterns?
Paul Egge: Sure. We do expect a measure of seasonality, but I will say, especially given that we're currently structured -- currently using a higher level of wholesale funding than we'd like to, we kind of would see a substitution dynamic going on. So, we're probably not expecting much by with asset growth more will seek to let certain seasonality on the funding side substitute away a measure of our usage of FHLB borrowings or broker deposits what have you.
Matt Olney: Okay, Paul, thanks for that. I assume those wholesale FHLB, those are all eligible to be paid down pretty short duration, it sounds like.
Paul Egge: It's mixed, but we definitely have a certain amount that is on the short side that will -- we're kind of thoughtful about how we play that composition of both food groups in that wholesale funding and we're able to manage that relative to the expectations around seasonality. To the extent it drives a little bit of asset growth, we'll be enjoying a meaningful level of spread if we put that at the Fed -- if we put the excess cash at the Fed.
Matt Olney: Okay. I appreciate that. And then, on the fee side, fees were a little bit slower this quarter. And I know the Durbin impact started in 3Q, but it still looks like there were some -- maybe some other impacts in there, the third quarter, or perhaps Durbin may have been more than we expected. I can't -- it's tough to see from my seat. Any color on fees in third quarter and the outlook here?
Paul Egge: Sure. All I can acknowledge is Durbin has been a little bit more than our expected impact.
Bob Franklin: We also sort of follow the trend of we are not charging NSF fees any longer.
Matt Olney: And Bob, on that last point, when did you implement that? Is that third quarter-start?
Bob Franklin: This last quarter, yeah.
Paul Egge: Mid-August.
Matt Olney: Okay. Perfect. And then I guess on capital, we are seeing a nice capital build. I know when the bank was put together there was expectation of some rapid capital build, and Bob mentioned earlier, the environment has changed over the last year since the deal was put together. So, we'd love to hear any updated thoughts on capital expectations of continued build. And then with the excess capital, what your updated thoughts around deployment of such capital?
Bob Franklin: Yeah, Matt, I think we're very comfortable with the fact that we're building capital that give us some optionality. We think it allows us to look at various ways to deploy that, whether that be M&A, whether that be buybacks, whether that'd be increased dividends, all these things we're looking at. There's also safety in capital build to make sure that you can get through difficult times, if those approach us. So, we're trying to keep all options on the table to see where we go with that. But it's a good problem to have I think in trying to give optionality to as we move into '24 and decide what that looks like for us and what we want to do with that. But we want to continue to build this organization, so the best use of that is to help us continue to build and grow.
Matt Olney: Okay. Agree with the optionality, good to have in this kind of environment. Okay, that's all from me guys. Thanks for your help.
Bob Franklin: Thank you, Matt.
Paul Egge: Thanks, Matt.
Operator: Thank you. I'd now like to turn the call back over to Bob Franklin for any closing remarks.
Bob Franklin: Thank you for your interest in Stellar Bancorp. And with that, we are adjourned.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.